Operator: Good day, everyone, and welcome to the Jack in the Box, Incorporated Third Quarter Fiscal 2015 Earnings Conference Call. Today's call is being broadcast live over the Internet. A replay of the call will be available on the Jack in the Box corporate website, starting today. During the question-and-answer period, please use your handset when asking a question. Please do not ask over a speakerphone. At this time, for opening remarks and introductions, I would like to turn the call over to Carol DiRaimo, Vice President of Investor Relations and Corporate Communications for Jack in the Box. Please go ahead.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: Thank you, Marley, and good morning, everyone. Joining me on the call today are Chairman and CEO, Lenny Comma, and Executive Vice President and CFO, Jerry Rebel. During this morning's session, we'll review the company's operating results for the third quarter of fiscal 2015 as well as some of the guidance we provided yesterday for the fourth quarter and updated for the remainder of the year. In our comments this morning, per share amounts refer to diluted earnings per share and operating per share is defined as diluted EPS from continuing operations on a GAAP basis, excluding restructuring charges and gains or losses from refranchising. Following today's presentation, we'll take questions from the financial community. Please be advised that during the course of our presentation and our question-and-answer session today, we may make forward-looking statements that reflect management's expectations for the future, which are based on current information. Actual results may differ materially from these expectations based on risks to the business. The Safe Harbor statement in yesterday's news release and the cautionary statement in the company's most recent Form 10-K are considered a part of this conference call. Material risk factors as well as information relating to company operations are detailed in our most recent 10-K, 10-Q and other public documents filed with the SEC. These documents are available on the Investors section of our website at www.jackinthebox.com. A few calendar items to note. Our fourth quarter and fiscal year ends on September 27, and we tentatively plan to announce results on Tuesday, November 17, after market close. Our conference call is tentatively scheduled to be held at 8:30 a.m. Pacific Time on Wednesday, November 18. As a reminder, for your modeling purposes, fiscal year 2016 has 53 weeks, with 13 weeks in the fourth quarter instead of 12 this year. And with that, I'll turn the call over to Lenny.
Leonard A. Comma - Chairman of the Board and Chief Executive Officer: Thank you, Carol, and good morning. After reporting several consecutive quarters of solid performance, you might be asking, how are we achieving these results and what can you expect from us in the future? This morning, I'll address how we're doing it and talk a little bit about what you can expect going forward with the intention of sharing more information on our November call. So how are we doing it? The simple answer is, better burgers at Jack in the Box, along with new products and promotions at breakfast and late-night, and for Qdoba, a simplified pricing structure complemented by new product news. Specific to the Jack in the Box brand, our new premium Buttery Jack burgers that debuted in February continued to perform well, even without media support, which we shifted in Q3 to support the launch of our Black Pepper Cheeseburger LPO. We also launched a Portobello Mushroom Buttery Jack as an LPO two weeks ago. You've seen us focus on building the lunch and dinner business through more craveable burgers, but we haven't taken our eye off the ball on breakfast and late-night, two dayparts that have been huge equities for us and have driven same-store sales growth for the past few years. In Q3, we featured a Steak & Egg Breakfast Burrito as an LPO. And we recently introduced a new Spicy Nacho Chicken Munchie Meal to help keep our late-night menu top of mind. As a result, the breakfast daypart has grown to nearly 23% of our company's sales this year and late-night to nearly 16% of sales. So what can you expect from the Jack in the Box brand in the future? Our research told us that our guests wanted better burgers, fries and beverages. We've already introduced several highly successful burgers this year and you can expect more great new products and substantial improvements across the entire burger menu in 2016. Our fries are great when properly executed, so operational execution will be our focus in this area. And to address our guests' beverage needs, we began rolling out the Coca-Cola Freestyle platform in Q3. The Freestyle platform features more than 100 brands, including sparkling beverages, flavored waters, sports drinks and lemonades. We expect to have the majority of the system rolled out by the end of the calendar year. To bring our great new products and improvements to life, we've shifted the tone in our advertising. Jack in the Box has long had an irreverent sense of humor, and that tone dominated our advertising, with the products sometimes playing second fiddle to Jack's personality. What you're seeing now and going forward is an increased emphasis on the product, with the humor playing a lesser role. Now, we intend to use the equities we've built in our award-winning advertising campaign, but in a way we think will draw more attention to our flavorful ingredients and better highlight the quality improvements that we're making. Now let's take a closer look at how we're driving results at Qdoba. Over the last few years, we've been transitioning away from some of the more value and discount-oriented consumers that we attracted in the past to consumers that are more focused on freedom of choice and differentiated flavors. As we move into next year, we are committed to growing both sales and traffic, targeting this, more profitable consumer base. The new pricing structure and intensified focus on menu innovation are the first major outcomes of Qdoba's brand strategy and positioning work. Qdoba is now the only major fast casual Mexican brand that doesn't nickel-and-dime you by charging extra for things like guacamole and queso. This will be reinforced in our messaging in Q4. We complemented this positioning in Q3 by highlighting the summer return of a guest favorite, the Mango Salad, along with a seasonal offering featuring a Spicy Tequila Mango Smothered Burrito, again showcasing unique and flavorful products that our guests can't get elsewhere. Looking ahead to 2016, you can expect more new product news beginning in the first quarter, as well as a digital platform that will launch later in the year. We're also beginning to test restaurant design changes that we anticipate bringing to life across the system over the next few years. Essentially, we want to marry up the brand's bold in-your-face flavors with a bold in-your-face design on both the interior and exterior. Since the second quarter, we've opened several new restaurants that feature design elements reflective of our new brand positioning. We'll continue to open new locations with these and other features, and then test and thoroughly evaluate each element to determine which ones work best and generate the highest return, and then we'll value-engineer the most important elements and begin to roll those out. We want to be very deliberate during this process. As a result, we pushed out our construction timeline a bit, and several restaurants we previously expected to open late in Q4 are now expected to open in the first quarter of fiscal 2016. Our franchisees have also begun to develop restaurants utilizing various elements of the prototype. They're excited by what they've seen, and we believe their participation will be invaluable to the future rollouts. As a side note, franchisees remain on target to open approximately 25 Qdoba restaurants this year, most of which are nontraditional sites. In closing, the early success we've achieved with initiatives executed across both brands led to a 17% increase in operating EPS in the quarter. This improvement was driven primarily by continued sales momentum and margin expansions at both Jack in the Box and Qdoba. With a quarter to go, fiscal 2015 is shaping up to be another strong year. Our increased guidance with operating EPS would represent more than 20% EPS growth on top of 30%-plus growth in each of the last three years. Our business model is generating a significant amount of cash flow. That, combined with the additional borrowing capacity of our amended credit facility, gives us the confidence to not only grow both brands, but also to continue returning a significant amount of capital to our shareholders in the form of stock buybacks and dividends. And with that, I'll turn the call over to Jerry for a more detailed look at our third quarter results and outlook for the balance of the year. Jerry?
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: Thank you, Lenny, and good morning. Our 17% increase in operating EPS for the quarter included a $0.035 charge related to the replacement of old beverage equipment with Coke Freestyle and a higher tax rate, which cost us $0.05 versus last year. For Jack in the Box, the 5.5% increase in company same-store sales was comprised of transaction growth of 1.6%, mix benefits of 1.9% and pricing of approximately 2%. With system same-store sales increasing 7.3% in the quarter, Jack in the Box outperformed the QSR sandwich segment by 550 basis points. Sales and transactions at company Jack in the Box restaurants increased in all major markets in the third quarter. Sales were strong across all dayparts, with breakfast and dinner the best-performing, followed closely by late-night. For Qdoba, third quarter same-store sales increased 7.7% system-wide. The 6.6% increase in company same-store sales was comprised of a 6.4% increase in the average check, which was driven primarily by the new simplified pricing menu structure, catering growth of 1.3% and a decline in transactions of 1.1%. We've now had six consecutive quarters of double-digit growth in catering sales. For the third quarter, consolidated restaurant operating margin increased 270 basis points to 21.8% of sales. Jack in the Box company restaurant margin expanded 360 basis points to 22%, including a benefit of approximately 150 basis points, resulting from our refranchising strategy, as well as lower commodity costs and sales leverage. Average weekly sales for Jack in the Box company restaurants topped $36,000 in the quarter, up 10%, resulting from both refranchising and strong same-store sales growth. Year-to-date, our company AUVs are above $1.8 million. Qdoba company restaurant margin grew 80 basis points to 21.4%, as benefits from the new pricing structure, sales leverage and lower commodity costs were partially offset by higher labor staffing to support guest service initiatives and startup costs associated with a new catering call center. We believe catering has the opportunity for continued growth and expecting, proving the guest experience with our new call center to be a key contributor. Franchise margins expanded by 270 basis points in the quarter, as rental income for Jack in the Box restaurants and royalties for both brands benefited from the same-store sales growth. The key components of our higher SG&A compared to last year were a $3.8 million negative impact from mark-to-market adjustments and $1.2 million in pension expense. Given the annuity-like cash flows our business model generates and the flexibility of our credit facility, we remain committed to returning cash to shareholders. We repurchased $75 million of stock during the quarter, and year-to-date, we've repurchased more than 2.9 million shares for over $250 million. Our outstanding shares decreased by 7.6% versus last year's third quarter, which will continue to contribute to our EPS growth. As far as commodities are concerned, overall, we now expect commodity costs for the full year to increase by approximately 1.5% to 2% versus our previous expectations of approximately 2%. We expect higher egg prices to contribute to Q4 inflation of approximately 1% for Jack in the Box with moderate deflation at Qdoba in Q4. As we look into next year, our initial outlook is for a relatively flat commodities basket, with inflation of less than 1% at Jack in the Box and deflation of 2% to 3% at Qdoba. Egg prices are expected to be up significantly, particularly in the first half of the year, and as always, beef prices are the wild card. Here's our current thinking on guidance for other key items for the balance of the year. For the fourth quarter, we're expecting same-store sales growth at company restaurants of 3.5% to 5.5% for Jack in the Box and 5% to 7% for Qdoba, which results in our full-year same-store sales guidance of 5% to 5.5% for Jack in the Box and 8% to 8.5% for Qdoba. Operating EPS is now anticipated to range from $2.97 to $3.03 per share in fiscal 2015 compared to our prior guidance of $2.90 to $3 per share. That concludes our prepared remarks. I'd now like to turn the call over to the operator to open it up for questions. Marley?
Operator: Thank you. We will now begin the question-and-answer session. Due to time considerations, we ask you to please limit yourself to one question and one follow-up per turn. If you do not have any additional questions, you may re-queue at that time. Thank you. Our first question is from Joe Buckley of Bank of America. Sir, your line is open.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Thank you. Like to ask a question on each of the brands, if I could. So, first from a Jack in the Box perspective, curious what you've seen in San Diego when McDonald's went to all-day breakfast, if there was any noticeable impact from that competitive move?
Leonard A. Comma - Chairman of the Board and Chief Executive Officer: Hey, Joe. This is Lenny. So, we have not seen an impact here in San Diego. Our breakfast sales remain strong. And so, I think a lot of it has to do with the extended offering is for McDonald's. It is breakfast faves, so it's not the entire menu. And I think although it's probably impacting some of the competitors in this market, I think we have been so traditionally 24/7 with the entire breakfast offering that we're not seeing any transitions from our guests from us to McDonald's.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Okay. And then a little bit broader question than that one, on Qdoba. Just talk a little bit about the composition of the same-store sales increase, and I know you mentioned having some transaction-driving as well as check-driving initiatives or plans in place, but talk about what happens as you lap the rollout of the simplified pricing structure and how you're envisioning the composition of that same-store sales number shifting and how you can get the transaction piece to be positive and maybe significantly so.
Leonard A. Comma - Chairman of the Board and Chief Executive Officer: Yeah. So first off, we're very focused on the transaction piece because we know that the rollover versus the success we saw this year is pretty aggressive. So midway through the quarter, we will have some product promotions, some new entries to the menu, some of which will most likely stay on as permanent items and some that will roll off as LTOs, that we think will bring a lot of attention to the brands during that quarter. And then on top of that, we've been really taking a look at how familiar our consumers are with our offering, and there are quite a few consumers that we just haven't been able to attract yet, so we're getting set up for the digital program midway through the year that we believe we'll be able to communicate better with this group of consumers. And then we'll also be doing testing, nothing that I can share details of, but testing in the first quarter some other ways to use media to bring attention to the brand and drive transactions and sales. So it's going to be a combination of communication efforts and new products that will be the drivers, but one of the things that I'd mentioned in my previous comments was that we don't want to use discounting as the major driver. We'll continue to have promotions, but we won't be the bargain-basement brand that's driving them in through a bunch of low-priced offerings and freebies. It'll be really based on higher-quality food that gets the repeat traffic in there and attracts new guests.
Operator: All right. Our next question is from the line of Chris O'Cull of KeyBanc. Sir, your line is open.
Chris T. O'Cull - KeyBanc Capital Markets, Inc.: Thanks. Good morning, guys. Just a follow-up to that Qdoba question. I mean, Lenny, Qdoba doesn't enjoy the marketing penetration or advertising mechanisms that Jack does. So is it fair to assume that the awareness build of some of these changes at Qdoba will be slower with consumers than what we've seen with Jack in the past?
Leonard A. Comma - Chairman of the Board and Chief Executive Officer: Yeah, great question. So, the simple answer to that is yes, and it's also why we're going to test some other ways to communicate with the guests so that we can see if in those market tests, we can actually ramp up the speed or the traction of that. So I think you're spot on there, which is why we want to look at some other mechanisms.
Chris T. O'Cull - KeyBanc Capital Markets, Inc.: And then just as a – and one follow-up here if I may. Help me understand the Qdoba or the impact catering could have to the Qdoba margin and just the overall business. I mean, it's still a small percentage of that concept sales; what's the potential here from a sales and margin standpoint from that?
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: Well, we think the potential significance, Chris, we've had six quarters in a row of double-digit comps, and as we've mentioned on the call, added more than a point to the overall comp growth. But when you consider that the average ticket for a Qdoba catering order is more than $200, it only takes one additional order per week to drive about a point in comps. So we're taking a significant effort on improving the catering offer. I'd say one of the first steps is to improving the guest experience with the new catering call center. And with that catering call center, we'll have some improved technology opportunities going forward to also give a greater opportunity for guests to order in many different ways and also have, as an example, automatic rollover to a secondary call station when the order line gets a little busy. So we think this is one of the first steps. We're also testing some other ideas out there within the market to improve the catering offering. So, we think it has significant potential. And then, Chris, also just the last item here, the mix is approaching 8%, EBITDA, the AUVs have been growing, so the catering has been growing at a higher rate than what the rest of the sales have been.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: Next question?
Operator: Okay. The next question is from the line of Keith Siegner of UBS. Your line is open.
Keith R. Siegner - UBS Securities LLC: Thank you very much. Just a question on the COGS. I mean this is a very favorable and almost these are unprecedented commodity environment. I mean another year of net-net, practically deflation, is awesome. Is this just a straight commodity flowing through? Do you have any major efforts in place for cost saves? Have you gotten more sophisticated in terms of either contracting or hedging? If you can talk a little bit about what's driving some of that? And then the second piece is, when we think about this COGS deflation, how are the brands thinking about pricing? For example, like with Qdoba, another year of down 2% to 3% or a big year of down 2% to 3%, how do you think about pricing off the back of that COGS outlook? Thanks.
Leonard A. Comma - Chairman of the Board and Chief Executive Officer: Keith, this is Lenny. Why don't I take the pricing question and then I'll flip it over to Jerry to talk a little bit about the commodities outlook and cost of goods. So one of the things that I think we have to be cautious of is not pricing ourselves out of the market. So when you have potential deflation for the Qdoba brand, I think it's an opportunity for us to drive transactions and sales by being maybe less aggressive with pricing. So, we have to see how that all takes shape. Obviously, right now, it's just sort of estimates. But in a deflationary environment, I would hate to be caught on the wrong side of the marketplace where I'm moving prices up while everyone else is remaining flat. So we're going to have to pay attention to what competition is doing, and then also use this as an opportunity to maybe get some margin expansion while also drive traffic.
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: Yeah, Keith, on the rest of the question, with respect to the costs, so, I'd say we have a number of things going on within the construct of the food and packaging costs line, so one of which is a favorable commodity environment, by and large. I'll set eggs aside from that comment, but we are also then – on the other end, we are investing in quality improvements within the Jack in the Box brand, and I think you see that across the menu. The Coke Freestyle is a good example. You'll continue to see that as we go forward. I think Lenny alluded to that in his prepared remarks. But along with that, our supply chain team is doing an extraordinarily good job of managing costs out of the business through better contract management, better negotiations. And we have saved a significant amount of money going from contract to contract over the course of the year for both the Jack in the Box and the Qdoba brands. So I think you'll consider – or you'll continue to see that going forward.
Keith R. Siegner - UBS Securities LLC: Thank you.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: Next question?
Operator: All right. The next question is from the line of Mr. Brian Bittner of Oppenheimer. Sir, your line is open.
Brian J. Bittner - Oppenheimer & Co., Inc. (Broker): Thanks. Just actually have two questions. The first one is on the G&A line. Is there any initial peek you can give us on how you're thinking about the G&A opportunity into 2016? And I realize you haven't given us 2016 guidance and there's a lot of moving pieces with pension and whatnot, but we'd love to hear about your initial thinking on your controllable G&A as we look out into 2016?
Leonard A. Comma - Chairman of the Board and Chief Executive Officer: I think what I'd say there is, we're going to give you more information after the year closes. For now, what you can know is that the long-term outlook for us on G&A is that it does come down. We have some estimates out there right now that we shared at the beginning of this year. We'll update those with the anticipation that as we find the efficiencies with a shared services model and get both brands through their brand re-launches, with improvement in product, design and service, that post that activity, we'd be able to see some of those costs come down. But to give you new ranges, I'd rather wait until we give you guidance into 2016.
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: And, Brian, just to add to that, we think that one of our largest opportunities to reduce G&A costs going forward is the – our IT costs, as we continue to work towards single platforms across both brands in terms of restaurant technology. We are making good progress along all of those items. But I would tell you, we will take our time to make sure that we're doing it right. I think we read once or twice a quarter, if not more, where brands, retail and restaurant alike, have rolled out technology perhaps a little quicker than they ought to have. And so, we'll run the risk of taking a little longer to do it right and roll it out properly than we will running the risk of ruining guest perception and guest experience when they come into the restaurants. So, but more to come on that, and I would expect that we would have some additional view of exactly what we're doing when the November call comes around.
Brian J. Bittner - Oppenheimer & Co., Inc. (Broker): Okay. And just wanted to also ask on Qdoba; it's almost half of your company on stores between both brands, so I'd just like you to highlight the restaurant margin opportunity there because I know you've said in the past that the stores that are doing $1.3 million AUVs are doing far and above the system-wide restaurant margins, which implies a ton of leverage potential. I mean, where do you think these restaurant margins on the Qdoba side can go if you can continue to execute on the same-store sales?
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: So I can tell you on those, on the higher AUV performing restaurants, we're seeing margins in the 25% level. So, as we continue to move the AUVs up, we think the leverage is significant. Again, remembering that a large portion of their restaurant-level costs tend to be fixed. So, the goal of getting the AUVs up through all the initiatives that we've been doing, all the things that Lenny talked about, we think we have significant room to continue to grow the Qdoba margins.
Brian J. Bittner - Oppenheimer & Co., Inc. (Broker): All right. Thanks, guys.
Operator: Our next question is from the line of Mr. John Glass of Morgan Stanley. Sir, your line is open.
John Glass - Morgan Stanley & Co. LLC: Thanks very much. Lenny, not surprisingly, one of the larger debates in this space has become what happens when McDonald's gets better in the U.S., if in fact that's to occur? And I'm sure you've thought a lot about that yourself. And I remember at one point along the line, someone at Jack in the Box telling me that they thought even their – your core customers went to McDonald's more frequently than you. And I'm not sure if that's right or wrong, but how much do you know about how you share customers? Is it even the right analogy? Are people using you – you may share customers, but are using you differently? Maybe more premium at you and they're going to McDonald's for their value? How much risk is there? How much overlap is there? How much of that interplay do you understand?
Leonard A. Comma - Chairman of the Board and Chief Executive Officer: Yeah. So I think if you're in any restaurant business, you're sharing a pretty decent percentage of your customers with McDonalds regardless of the segment of the restaurant industry you're in. And I do think that the consumer uses these brands slightly differently, but we are all in the same bracket of fast food. So I'm not going to try to position us in a place to say that our consumers are drastically different in behavior than a McDonald's consumer. However, when we look at what we offer the consumer, I think that's where the difference takes place. For Jack in the Box, we use bundled-value deals that tend to focus more on putting some flavor into the food, differentiated items that you're not going to see on everybody else's menu. Things like the Buttery Jack burger are a great example of that, whereas on the McDonald's side, the value play with individual items being promoted is still really the lifeblood of that brand. In addition to that, for the Jack in the Box brand, a very high percentage of our transactions are customized orders, where the consumer is in one way, shape, or form, changing the item from what is presented on the core menu. Again, if you compare that to a McDonald's item, they're getting the items right off the menu as presented. So, we think that the brand offers folks some options that drive a little more unique (30:50) than the value-oriented fast food players. With that said, as McDonald's figures out their positioning and begins to market that strongly, I think it will have an impact on the entire industry. And I believe that Jack in the Box is well positioned to compete against a rebounding McDonald's because we are not a value-oriented fast food player. I think the brands that will suffer significantly if McDonald's gets back into the game with a clear voice on value are going to be those competitors today that focus in that space.
John Glass - Morgan Stanley & Co. LLC: Thanks. That's helpful. And then just on unit expansion in Jack in the Box, and again, this comes up from time to time. Given the brand strength and its positioning, it would seem it's time to begin to accelerate that. Maybe you can agree or disagree. Some brands take a very deliberate approach and say these are the new markets we would like to target, there are three or four of them, we're going to seed them or we're going to encourage franchisees to go there. Others maybe just take the laissez-faire and let the franchisees just develop when they feel like the economics are more compelling to them. How do you see when you do choose to accelerate the approach you're likely to take?
Leonard A. Comma - Chairman of the Board and Chief Executive Officer: So a couple of things. First, I would tell you that our new brand president, Frances Allen, has been very focused on positioning the brand for growth. And we certainly have a significant amount of interest from our franchise community to grow this brand, both in existing and new markets. So I think what you'll see us do, the steps that Frances has shared with me that she'd like to take, is to complete the menu work in a way that has a compelling offering, to complement that then with some design elements that would help bring it to life and then let's get that out into some new markets with both franchise and company ops participation so that we can prove it out. And if I look at the timing of that, I would say we're still at least 18 months or so out from seeing those types of activities ramp up. But with the level of interest and the passion from our brand president, I don't believe that we're going to be able to hold it at bay for too long. And so, I think you'll start to see some activity we can talk about. As we get toward the end of next fiscal year, I think we'll just have a much better idea of that timing.
John Glass - Morgan Stanley & Co. LLC: Okay. Thank you so much.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: Next question?
Operator: Yes, ma'am. Our next question is from the line of Robert Derrington of Wunderlich Securities. Sir, your line is open.
Bob M. Derrington - Wunderlich Securities, Inc.: Yeah. Thank you. Lenny, one thing that the company typically does really well is test, you know, test almost exhaustively to a point where you're pretty confident about what kind of returns you're going to get once you introduce something. What can you share with us about the testing that you're doing at Qdoba with either some of the new food or what you've seen with some of the design transformation that you've got going on? And then I've got a follow-up on Jack.
Leonard A. Comma - Chairman of the Board and Chief Executive Officer: Yeah. So on the Qdoba test, there's not a whole lot to report yet because we've only built a very small handful, mid-single-digits, and these things are literally just a few weeks old, so it's pretty early. We have some that are performing gangbusters well and we're happy to see that. And we have others that are performing above what we would see from a new opening, but not at the high side of the range of the complete set of locations that we're testing. So overall confidence is really high, but it would be too soon for me to give you a read on that with any type of accuracy. We really need to see, after the buzz of the new store opening dies down, what these AUVs are. We have learned a lot about the design element, the cost of the design, also the practicality of the design, and our construction team is actually making changes on the fly. For example, some of the exterior trade dress, the various construction engineers that have worked on these projects, figured out how to create the exact same look and feel that we were going for, but to do it significantly cheaper. So we had to go in and speak to some of the municipalities about the permitting, and that slowed down a few of the sites that were supposed to open in Q4, but we'll be able to build those elements into the trade dress in Q1 in a cheaper and more efficient manner. So we're learning a lot about that process. We'll know more about the returns as time goes on. And the way we're approaching this, to your point, where we sort of test in this exhaustive way, one of the things that we have done in the past as compared to what we're doing today, in the past, we would build the same exact thing at many locations, and then get a read on the full set of restaurants. Today, what we're doing is we're putting different elements into each restaurant so that we can compare what the drivers will be. And I think that's actually going to accelerate the learning. It's just a different approach. I think it's practical, and I'm hopeful that what will come out of this is a clear picture of what the winning elements are. Franchisees have been willing to build some of these. They love the new design. It really is compelling. It brings not only in the logo and colors, but also the design elements and the graphics, it really does bring a bold, grab-your-attention feel to the restaurant that today we just don't have. So our franchisees, I think, are very enthusiastic about it, and then will be early adopters just based on what we're seeing so far.
Bob M. Derrington - Wunderlich Securities, Inc.: On the menu front?
Leonard A. Comma - Chairman of the Board and Chief Executive Officer: On the menu front, what we've got is new news in quarter one that I haven't given any details on, but middle of the quarter, you'll see a launch of some new products. And then throughout the year, we will both bring back some of our fan favorites from previous years as well as launch new flavors. And keep in mind, when we launch something new like proteins, those proteins are able to be delivered in every single carrier. So unlike Jack in the Box that formulates one new product that we give attention to and try to drive that complete entrée, on the Qdoba side, we're actually featuring a lot of flavors alongside a potential entrée, because the flavors expand across the entire menu offering. We tend to get a lot of leverage when we do things like queso or mango, even though it seems like one item, it actually is impacting the whole menu, and you'll see that with the new proteins and platforms that we'll introduce in 2016 as well.
Bob M. Derrington - Wunderlich Securities, Inc.: You know, on the Jack side, and I'm sorry. Basically, how do you handicap the success you've had this last year, whether it's within breakfast daypart, the new better-ingredients beverage, et cetera, late-night? How do you handicap that going forward? Where do you see the biggest opportunities as we come into the new year?
Leonard A. Comma - Chairman of the Board and Chief Executive Officer: Yeah. So keep in mind, if you look at the success that Jack in the Box has experienced this year, it's really on very few products. Actually, compared to previous years, we threw a lot more new product innovation at our menu in previous years as compared to 2015 fiscal year. What's happened is, through the research, we had a better understanding of what was really going to drive sales and transactions, and it was this focus on burger improvement. This year, we weren't able to really attack the core, so we focused on sort of foreshadowing the new menu with new product offerings. In 2016, you'll see us aggressively change the entire core burger menu such that it'll be the equivalent of a ton of new products on the menu. So, the way I would kind of sum it up, if you wanted a headline, the headline would be, LTOs drove the success of Jack in the Box in previous years, and in future years, what you'll see is the core menu should drive sales and transactions, and LTOs should be the gravy. So, this is going to be, I think, a great new way for us to not only bring in the guests through new news, but retain them with a core menu that's a lot more compelling.
Bob M. Derrington - Wunderlich Securities, Inc.: Terrific. Thanks, Lenny. Appreciate it.
Leonard A. Comma - Chairman of the Board and Chief Executive Officer: Welcome.
Operator: Our next question is from the line of David Tarantino of Robert Baird. Sir, your line is open.
David E. Tarantino - Robert W. Baird & Co., Inc. (Broker): Hi. Good morning. My question is on the long-term margin outlook for Jack in the Box. Was just wondering if you could give an update on your current thinking on where the margins for that business could go. And then maybe over the course of time, could it be a 20% to 23% type restaurant-level marketing business, or do you think 20% is the right number long-term? And then secondly, there's been a groundswell of talk about minimum wage hikes, including in some of your bigger markets. So, just wondering how you're thinking about the labor outlook as you look at the next few years and your ability to manage through that.
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: So, David, the – first, we'll provide both our 2016 and longer-term outlook for margin on the November call. But clearly, with where the Jack in the Box brand is now, everything else being equal, you could expect to see us think about that a little differently. But that does tie into your second part of your question, which is the minimum wage piece. So, here's how we're thinking about that. I am willing to give a bit more information on the minimum wage than on the long-term margin outlook. But if you look at the minimum wage, we're looking at, for the Jack in the Box brand, I'm sure all you guys know that the minimum wage goes up to $10 an hour in California on January 1, 2016, we're currently estimating that to be about 75 basis points worth of impact on the Jack in the Box brand, roughly 50 points on the consolidated piece. Obviously, if you look at that in terms of what do you have to do to offset that in price, it's less than 1%. And then the Qdoba brand has minimum wage impacting them in five states and three cities, but because of the number of restaurants that they have in those, we think that that's only going to add about 10 basis points to 15 basis points to their costs, or three basis points to five basis points for the full on the consolidated piece. So you're looking 50 basis points to 60 basis points in minimum wage impact for us next year, knowing what we know right now. I'll also talk to you a little bit about healthcare. I'd say the good news on the healthcare front is that if you – which – it goes into effect for us beginning with our new fiscal year. We had originally thought when we talked about this, it seemed to me like it was just a couple of years ago, but this has been hanging over our head for a lot longer now. So it was probably three or four years ago when we talked about this. We estimated a number of roughly 50 basis point to 100 basis point impact. I guess over the passage of time, which includes a lot of the rules and regulations being written around the healthcare law or more certainty about what that actually means, and then obviously, our AUVs have grown significantly over that timeframe. We now think it's going to be closer to the lower end of that range, which I think is good news for all of us. And we'll know more about what the take rate is as we run through our open enrollment process. We'll have a better number for you on that in the November call also.
David E. Tarantino - Robert W. Baird & Co., Inc. (Broker): Great. Thank you very much.
Operator: Our next question is from the line of Jeffrey Bernstein of Barclays. Sir, your line is open.
Jeffrey Bernstein - Barclays Capital, Inc.: Great. Thank you. I also had one question on each brand. First one just specific to Jack and, I guess, the burger segment in general. Just wondering if you're seeing any change in promotional activity? We've heard from a few that the consumer is more value-oriented. I know as you mentioned earlier, you're more focused on bundles. We've heard of a few of your bigger burger peers how they need to get more into that bundling. So I'm just wondering if you've seen any change thus far and perhaps how your bundling is going in terms of whether you look at it as mix or however you manage your bundling versus the rest of the menu? I'm just trying to get a feel for that and then I have a follow-up on Qdoba.
Leonard A. Comma - Chairman of the Board and Chief Executive Officer: Yeah. So, the first part of your question on Jack, we're not seeing a ramp-up in promotional activity as it pertains to burgers. We are seeing a couple of bigger players focused on both individual value items and bundled value items, which are generally two sandwiches for X price. When Jack in the Box does bundles, we also do multiple sandwiches for a fixed price. But Jack in the Box has been super-successful with bundling drinks, fries and an entrée at a bundled price as well. And actually, for our late-night menu, we have sort of a permanent bundled value in that space. So it's just sort of at the core of what we do. And so, I think the consumer has sort of learned that about us. And the way that we compete against the individual promoted items from our competitors is to essentially do it by generating value through bundles. The – on top of that, I think just a point to note is that this year, the traffic drivers have been individual entrée items that are actually on the higher side of the price points. So for us, we're not seeing this call from the consumer to go value. In fact, just the opposite, the consumers are responding to bigger, higher-quality, more flavorful – differentiated products more so than – you would say premium products more so than more sort of engineered, smaller-sized value products.
Jeffrey Bernstein - Barclays Capital, Inc.: Got it. And then just a follow-up on Qdoba. Obviously doing a lot of research on that brand and you mentioned you're coming up on the lapse of, I guess, the new pricing strategy. I'm just wondering whether you get in your research any push back on that strategy, whether it's maybe I guess more so for value seekers. I think you mentioned earlier you don't necessarily want to attract those value-oriented players with these aggressive LTOs. But I'm guessing at the same time, you don't want to lose them. So just wondering how – what's your feedback from a customer on this rollout? And is that traffic number in line with your initial expectation? Are you seeing something different than what you were initially thinking as you rolled out that new pricing structure?
Leonard A. Comma - Chairman of the Board and Chief Executive Officer: Yeah. So we – I will tell you early on that the results were not aligned to our expectation. We expected that when we changed the pricing structure, we would have seen transactions slightly declining at that point in time. And it didn't happen, actually. We saw growth. But then further down the line, as we head into the back half of the years, that's when we started to see the challenges that we expected all along, because essentially, we did know that there would be a percentage of our guests that we would lose that were focused on the discounting. Keep in mind if you were a student, you got free drinks. And we had certain customers that were hooked on this cycle of only purchasing when there was a coupon. So, we knew that those folks were going to go away; it's why our discounting was cut almost in half by the changes in our approach. So, we guided 6% to 8% back in November expecting these challenges. And now, we're at the 8% to 8.5%. So we feel pretty good about where this whole thing has played out because we've been able to replace the vast majority of those value-seekers with people who are looking for the differentiated flavors and quality. So going forward, we understand that we're going to need to start ramping up the attraction of that new targeted consumer. And that's why we'll be testing new ways to communicate with and attract that set of consumers to our new offerings.
Jeffrey Bernstein - Barclays Capital, Inc.: Helpful. Thank you.
Leonard A. Comma - Chairman of the Board and Chief Executive Officer: Did that answer your question? All right.
Jeffrey Bernstein - Barclays Capital, Inc.: Yep.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: Next question?
Operator: The next question is from the line of Matt DiFrisco of Guggenheim Securities. Sir, you line is open.
Matthew James DiFrisco - Guggenheim Securities LLC: Thank you. My question is with respect to the shift in some openings there on Qdoba. Should we look at that as incremental to 2016 or still sort of maybe a deferring of the growth as you sort of figure out or sort of continue to test the new format of the stores and bring in some new elements to the format?
Leonard A. Comma - Chairman of the Board and Chief Executive Officer: We'll give you 2016 guidance in November. But what I can say is that the second half of your statement is what at least has as little bit of question mark there for us. It's just wanting to understand the impact of the design elements, both on the sites that we've been locking up for company op, but also for the sites that the franchisees are locking up. So, more to come in November. And we, by that time, we should have just a better understanding of the impact there. Lot of moving parts at this time.
Matthew James DiFrisco - Guggenheim Securities LLC: Understood. Just a question on Jack in the Box also, if you don't mind. With respect to the regional SKU, your – I know within your casual dining peers, California has been very strong and Texas has started to soften a little bit, and you had one of your peers today talk also and had some traffic issues in Texas. Was wondering if you'd shed some light on some regional disparities, if you're seeing that in Jack in the Box? And that Texas was sort of a – was it underwhelming and did it pull down the brand at all?
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: Actually – Matt, this is Jerry. Texas actually outperformed what our company same-store sales of 5.5% was – so even though we had a range in Texas which didn't help, overall, that state outperformed the company performance.
Matthew James DiFrisco - Guggenheim Securities LLC: Excellent. Thank you.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: Operator, can you check if there's more questions on the queue?
Operator: Yes, ma'am. We have actually one question on queue.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: Okay. Yeah. Go ahead.
Operator: Okay. So the last question is from the line of Nick Setyan of Wedbush Securities. Sir, your line is open.
Nick Setyan - Wedbush Securities, Inc.: Hi. Thanks for taking the question. What's the delta between the franchised comp and the company-owned comp, both at Jack and Qdoba?
Leonard A. Comma - Chairman of the Board and Chief Executive Officer: So first off, I'll say that we are extremely happy that our franchisees are executing well and driving traffic and comps. For the Jack in the Box side, one of the things that happened this year is a very high percentage of our franchise location opened 24/7. So the late-night opened up. And when that happens operationally, there are two impacts. One, you're going to gain late-night traffic, but two, you generally strengthen your breakfast business. And when we look at the data, what we see is, on the composition of sales increases for our franchise units versus company, they have a much stronger contribution coming from both late-night and breakfast as compared to the company stores. And the hypothesis is because they're now open. And so, this is sort of a general understanding. We've seen this in our – these trends in our business before and the operators have seen that. So that phenomena isn't necessarily a surprise to us, but sort of pleasant incremental sales coming from that driver through (52:31) franchise. On the Qdoba side, again, we've got some very strong operators who, we think, have taken the brand position which is focused more on quality and the freedom to choose, and they've executed that quite well through the line where their customer service workers are helping very aggressively for the consumers to understand all the different flavors that they can get at no incremental charge. What we see is in the restaurants that do that well, they're driving more repeat business and getting more sales and traffic. So at this point, I think it's really just an execution thing. And we're proud of what the franchisees have been able to do to jump on the bandwagon here.
Nick Setyan - Wedbush Securities, Inc.: Okay. And then could you maybe talk about the monthly cadence of the comps? And if you could comment on July, that would be very helpful, relative to the overall Q4 guidance.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: We typically don't talk about the monthly cadence. It was pretty consistent. And I would say in terms of our July trends, you can see what our guidance is for Q4 and we always consider where the trends are when we give that guidance.
Nick Setyan - Wedbush Securities, Inc.: Okay. Let me just ask one follow-up on the G&A. Where we're standing today in terms of the pension expense in FY 2016, given where interest rates are and waiting for maybe some early thoughts on a discount rate there, directionally at least, how should we think about that in FY 2016?
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: I wish that I knew. Unfortunately, the way that the rules work on this is, it will be, whatever the discount rate is on that last day of business before the end of this fiscal year, so – and we've seen these things shift quite wildly in a 30-day timeframe. We saw it last year. And so, I'm very reluctant to put a guess on what that could look like. Although, clearly, the discount rate change is the most significant impact to the pension cost on a year-to-year basis. But we'll have, when we know it, we'll have that information for you on the November call. I wish I could give you more information on that. I wish I had more information on that.
Nick Setyan - Wedbush Securities, Inc.: Thanks very much. Appreciate it.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: Great. Well thanks for, everyone, for joining us today, and we will look forward to speaking to you on the November call.